Operator: Greetings, and welcome to the Hudson Technologies’ First Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. [Operator instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. John Nesbett of IMS. Thank you, Mr. Nesbett. You may begin.
John Nesbett: Good evening, and welcome to our conference call to discuss Hudson Technologies’ financial results for the 2015 first quarter. On the call today, we have Kevin Zugibe, Hudson’s Chairman and Chief Executive Officer, and Brian Coleman, Hudson’s President and Chief Operating Officer. Kevin will review the Company’s business operations and future growth strategies, and Brian will review the financials and immediately thereafter, we will take questions from our call participants. And I’ll now take a moment to read the Safe Harbor statement. During the course of this conference call, we will make certain forward-looking statements. All statements that address expectations, opinions, or predictions about the future are forward-looking statements. Although they reflect our current expectations and are based on our best view of the industry and our businesses as we see them today, they are not guarantees of future performance. These statements involve a number of risks and assumptions and, since those elements can change, we would ask that you interpret them in that light. We urge you to review Hudson’s Form 10-K and other SEC filings for a discussion of the principal risks and uncertainties that affect our performance and other factors that could cause our actual results to differ materially. Okay, with that, I will turn the call over to Kevin Zugibe. Go ahead, Kevin.
Kevin Zugibe: Good evening, and thank you for joining us. I hope all of you had a chance to review our first quarter 2015 earnings release issued this afternoon. Our first quarter revenue performance was strong demonstrating growth from higher R-22 pricing and increased volumes of refrigerants as well as the integration of two acquisitions and higher service revenues. These components contributed to our enhanced profitability during the quarter. We typically expect to see buying activity begin to increase in the first quarter and certain of our customers not preparing for the refrigerant season and this quarter was consistent with previous years. But the EPA’s October final rule establishing R-22 allowances for 2015 to 2019, the stage has been set for our industry’s transition to an R-22 aftermarket served primarily by recurring refrigerants. While previous by the EPA continues the industry to negatively impact on our performance, the EPA’s October 2014 final rule provided a clearly defined step-down schedule and a clear path to ultimately eliminate the production of virgin R-22 refrigerant by 2020. As a result since the EPA’s October announcement, we have seen incremental increases in R-22 pricing and since the October announcement pricing has increased by approximately 25%. In addition, with the final phase out schedule in place, our customers can now better plan for the elimination of virgin R-22 production which we believe will elevate R-22 reclamation as the primary source to supply. As the leading reclaimer in the marketplace it is an exciting development for us. We view our ability to reclaim R-22 as well as HSD refrigerants as an important market opportunity and believe that we are well positioned to drive both revenue growth and improved profitability. The integration of our acquisitions is progressing well. As we said on our prior earnings calls, these acquisitions have extended our geographic reach and expanded our customer base giving us a greater presence on the West Coast and in Puerto Rico, which are important markets where we previously had limited exposure. These acquisitions have also expanded our reclamation capacity of valuable standards as we prepare for what we believe will be increased demand for reclaim refrigerants. We believe that reclamation represents a long-term growth opportunity for our company and we are comfortable that we are doing the right things to capitalize on this element of our business strategy. As many of you know the R-22 phase out is given with the legacy Ozone Depleting Substances and the US participation in the Montreal Protocol which is the first major international treaty with respect in lung analysis. As we have previously discussed, the HFC class refrigerants are also bad to the environment, it’s not from an ozone perspective but from a global warming perspective. HFCs are typically thousands of times more potent than CO2. With the recent announcement by India, which is a significant HFC producing country indicating support to amend the Montreal Protocol to include HFCs the nations of the world are now likely to move forward to amend the Montreal Protocol. This announcement is good news for the environment and for Hudson Technologies. We are now much closer phasing out production of nearly all commercially available refrigerants that are harmful for the market. Further establishing reclamation as an important environmental solution for the refrigerant aftermarket needs. We remain focused on meeting the needs of our customers. Additionally, we continue to look for new opportunities to expand our reclamation network to meet the anticipated growth and demand for reclined refrigerants and we’ll to evaluate options for strategic partners as well as additional complementary acquisitions. With that, I’ll hand it over to Brian to provide our detailed financial results.
Brian Coleman: Thank you, Kevin. Revenues for the first quarter of 2015 increased 42% to $22.1 million, as compared to $15.6 million in the first quarter of 2014. During the quarter, we saw a higher selling price of certain refrigerants, and increased sales volume, as well as higher sales revenue. Additionally, this is our first complete quarter of results from our acquisitions. We expect that revenues from these acquisitions in the – will represent approximately 10% of our revenues for the 2015 period. Operating expenses for the first quarter were $2.3 million compared to $1.3 million in the previous year’s first quarter. The increase is primarily attributed to ongoing expenses which are acquisitions, which we estimate will run at a quarterly rate of about $550,000 of which about $150,000 of the $550,000 is non-cash amortization of the acquired assets. In addition, during the quarter, we also reflected non-recurring charges associated with the acquisition, as well as additional salary expenses. It should be noted that last year’s first quarter operating expenses was lowered by $170,000 due to a benefit from the recovery of a previously reserved receivable that’s historic to 2015 comparison to 2014. Net income for the quarter was $1.9 million or $0.06 per fully diluted share, compared to net income of $160,000 or $0.01 per fully diluted share in the first quarter of 2014. Our balance sheet is very strong. As of March 31, the company had $41 million in inventory an increase from the $37 million at December 31, 2014. The increase is primarily related to inventory acquired as part of our preparation for the 2015 selling season. At the end of the quarter, we had $17 million of availability on our credit facility and approximately $33 million in working capital. I’ll now turn the call back over to Kevin.
Kevin Zugibe: We have spent many years developing the relationships, distribution network and proprietary technology and equipment to capitalize on the reclamation market opportunity before us and to secure our current leadership position. With the EPA’s final rule in place providing clarity around the phase down that will eliminate R-22 production by 2020, we believe that there is a clear path that will lead to increased demand for reclamation as the sole source of R-22 supply and that Hudson is in a very good position to benefit from the changing marketplace. We believe the strength of our reclamation business combined with our service offerings will increasingly position us to have a more complete offering in solution for our customers. Thank you for your interest and support of our company. Operator, we’ll now open the call for questions.
Operator: [Operator Instructions] And our first question will come from Steve Dyer of Craig-Hallum.
Steve Dyer: Thanks. Good afternoon guys. Nice quarter.
Kevin Zugibe: Thank you.
Steve Dyer: As it relates to pricing, I know you said it’s kind of up 25% from the bottom, it seems to be creeping up a touch, do you expect, how much variability do you expect based on the weather or any other number of factors throughout the summer? I mean, this is kind of the price we are looking at for this year or do you think that could move around still?
Kevin Zugibe: Well, it certainly can move around, though. The – since we have low clarity of price started to creep up, in the season it could have gone one layer or another. We weren’t sure, first we were never sure, but we watched it and we said, hey stop showing positive results coming up. There hasn’t really been obviously a season yet. So they are just luring their show. As we get close from the season, that will tell there is no reason to think that it’s wouldn’t our expectation is that we will continue to see a creep we may not see a gallop like we’ve seen other years one big pop of the shot. But, there is no indication to us that it would either – that it wouldn’t creep up more if we get the need. But again, we’ll know during the season, but we are not seeing signs out there of it that it reached its peak in anyway.
Steve Dyer: Got it. Okay. Overall, how do you think about volumes this year versus last kind of taken any consideration in inventory and so forth and sort of where do you think the real inflection for reclaimed gases? Is that still a year or two out or do you expect that’s going to become more meaningful this year?
Kevin Zugibe: Well, in terms of its revenue, you should expect just ignoring pricing, demand, things like that. The acquisitions will provide another 10% growth over 2014. As it relates to volumes, we typically say and we typically do achieve 10%, 12% of volume growth and we – right now are ahead of that a little bit for the quarter, but again it’s a nine month season on necessarily just one quarter versus another. So, we still feel comfortable with that statement. We still feel with there is lots of customers out there that either can improve reclamation programs or create new or start programs or add or change for the betterment of Hudson and our ability to grow revenues. I think the other part of the question to was regarding reclamation. The real pick up in reclamation we think meets the 2016, 2017 more so than let’s say 2015 for example. Really, again part to the stock pile that exists. We don’t know exactly the total amount of stockpile that came into the 15 year but based on the latest information from the EPA, the target as of the end of 2013 was something north of 110 million pounds. So that probably be brought into some portion in accordance in 15 year and may be in the 16 years. So that may push off a little bit the development of reclaim, but we still expect to see higher prices. We do expect to see volume growth from our business.
Steve Dyer: Okay, great and then a last question and I’ll hop back. I think you had said last quarter you expected a couple of smaller one-time expenses lumped in the OpEx line I think this quarter for the acquisitions. Can you quantify that?
Brian Coleman: Probably, this quarter as a total it was $50,000, $60,000, it wasn’t a big number. We may have a little bit in next couple of quarters. At the end of the day, almost all of it, most of it is behind us at this point in time.
Steve Dyer: Okay, great. Thanks guys.
Operator: The next question comes from Ryan Merkel of William Blair.
Ryan Merkel: Great, thanks. How are you guys?
Kevin Zugibe: Hey. Good.
Ryan Merkel: So, when you say the gross margin which was kind of the big story for me, up a lot sequentially can you just talk about the couple of factors that drove that?
Brian Coleman: We are really – we would like to say, 2014 and 2013 are nominal and we think over the long-term, it will proven correct. So we are really back to where we thought we should be and we are looking to see some further improvement in the gross margin. Now that means, we are correlated to price increases per se, but we are now back into that place we are not dealing with the hangover of inventory write-downs and all of that nonsense that we went through over the last two years. So, we are back to where we should be. We think we are going to see some improvement this year in each quarter going forward. But not significant, as Kevin mentioned earlier, we are not necessarily expecting to see big price increases. But we are expecting still to see some more price increases from where we are today.
Ryan Merkel: So that sort of leads, I guess, or answers my second question, which is how do we think about gross margin sequentially from here? It sounds like, maybe a bit of a step-up each quarter and is the framework that we should think about that’s been a sort of follow R022 prices if we look out the next couple of years?
Brian Coleman: It probably will be mostly influenced by the R-22 prices. Yes, our services business is growing, but it’s still not a major portion of our revenues and that generally is a higher margin business. We are looking at trying to enhance the revenue streams that from the two enteritis to be acquired meaning they didn’t necessarily have any of our services to offer to our customers, in some cases they weren’t – didn’t have the ability to offer refrigerants at the product sales. So the mix will change a little bit, but probably the big influence on the margin is going to be pricing.
Ryan Merkel: And then a last question, just educate me if that’s here. I am not sure how the OEMs behave, but if we get into a really hot summer and volumes are very good, with the OEMs come out and raise prices unanimously?
Kevin Zugibe: It seems that that’s how we are working now, that’s how we’ve got to the price increases, we use the words creeping up or some of the other words. We’ve seen multiple small increases and they are working in terms of the OEM in unison in pretty much. So, it’s more like that’s going to continue to question again, as we didn’t really know when a price increase will occur, the use of the announcement that usually take 30 days to get into the marketplace, that’s how.
Brian Coleman: That’s usually as you said it though, there is usually something that causes and got makes them justify what is increasing and it could just be that. There is a lot of mind blowing and it’s very hot out there. And usually that means, it’s not usually how hot for some reason, but when did happen, if it happens earlier by June, that kind of thing and you get some consecutive hot days, yes that could be the first sort of makes somebody raise their question, start jumping out. So, you need something, you need to hear that you have a shortage. You may cut your production or if we know the production which we do it has to be something like that, like we got to equate.
Ryan Merkel: Right. Okay, very helpful, thank you.
Operator: And our next question comes from Gerard Sweeney of Roth Capital.
Gerard Sweeney: Good afternoon guys.
Kevin Zugibe: Hello, George.
Gerard Sweeney: A quick question, we’ve done a series of channel checks recently and I was curious when the real summer season starts to kick in? I want to start there.
Kevin Zugibe: Well we usually say, that the big change is heavy in the Northeast number of units. So that’s where you start to see the heat. And what they as we get a series of upper 80s days. If they get three days in a row, four days, that usually is the thing that kicks us then going. So, people live for long without air conditioning profile. So they get those hot days consecutive, one day isn’t usually enough. So, it ‘s hard to say when it is. Every year is different, but, sometime in May, June, we get that. That’s usually kicks the season.
Brian Coleman: Because – we’ve done a series of channel checks and I would recognize you have to be smarter. Their pricing was set on in February, it was up $9 plus, maybe up a touch even a week or two ago, but my sense for there was also a little less demand and people are second.
Gerard Sweeney: I know, this is near-term. I mean, you switch to the other side, those 90% longer term it’s about prices were going to go. Certainly, next year or the year after as promotion comes down but it seems like there was actually a little bit of weaker demand than expected, perhaps again the Northeast have some frication. Do you have any thoughts or comments on that front?
Brian Coleman: Yes, again, it’s hard to tell. It really – this is a copper cooling application and so much of this seasonal demand as Kevin just mentioned, is because of all of the units that are in the Northern part of the United States and particularly the Northeast. Florida is – it’s a fragmented market, certainly there is 22 there certainly there is a lot of comfort cooling there, but it doesn’t necessarily had that seasonal selling that you get in the north and there northeast.
Gerard Sweeney: Okay, that makes sense. I appreciate that. And then, just on the recycling and the volume growth looking out, I think in the past , you spoke about things that Hudson was doing to sort of encouraged more of reclaim and I think in the past you talked about a kiosk and collecting to ask that right, how does that fit into your strategy on a go forward basis? And that would be specifically what are you feeling to put Hudson really at the center of additional reclaiming and capturing more of that market, acquisitions aside, but any other technology or programs?
Brian Coleman: From an acquisition, to that piece, we had it through acquisitions, we want to make their businesses better and that is our primary focus. There is certainly doesn’t mean we don’t look at other things. But back to let’s just say, strategy our strategy has been pretty consistent for reclamation for a while and the primary component to that is working with the wholesaler network out there who served a several hundred thousand contractors working mainly on that R-22 as a residential and commercial application. And even up to recent times, not all, but some and a lot quite frankly, wholesalers looked at reclamation as a new since for something they really didn’t care about, but the reality is now here in front of us that for them to meet their customer demand from the future, they are going to have to partner for the reclaimer, we suggest we are best reclaimer. We suggest that we go to market is helpful to the wholesaler and we try to help them understand that inter-relationship and work with them and their customers to enhance recovery and reclamation.
Gerard Sweeney: Okay, got it. Thanks, I appreciate it.
Operator: The next question is from Christian Thomas from Sidoti & Company.
Christian Thomas: Hey guys, how are you?
Brian Coleman: Hey, thanks for speaking with us.
Christian Thomas: Just two quick questions. Could you really dig on a little insight on how we should look at Polar’s gross margins relative to Hudson reclamation in essence?
Brian Coleman: Polar, the acquisition themselves, both of them combined are still not, let’s say 10% of our revenue, not material. Polar’s revenue – historical revenue structure was more of a service-based structure in that. They never took final to any of the –or both of the refrigerants, I should say and that they were charging a service fee. So their margins in some instances could have been higher than ours. Obviously, we – because we take time to guess our revenues per activity are higher, but obviously over the last couple of years with the price declines we saw our margins were lower. So, the margin and the improvements in our margins is not that significant, but it’s mainly a service business and you could see as your margins are slightly higher than ours. But, at the end of the day, what we are really trying to do is, make their operations slightly more efficient than before and then more importantly as our products and our services to the customer base. So there really won’t be much of a distinction in the future, necessarily about their business relative to our business. They will pretty much all be the same.
Christian Thomas: Okay, and then just one question, one final question. As you are out there looking for possible acquisition targets, are maybe be getting to sellers that are raising in multiples and is patient of not taking reclamation and that stuff are they going static and what they are looking for?
Kevin Zugibe: Over the years, we talked to a lot of companies, we wanted to see and they see what would add to Hudson would be a good acquisition target. When we found the two that we did, again that was over a long-term – and it was the right time in the market. We are integrating these two really get the most of these as Brian said, we are adding our products and services to them. So, we are busy with them. We are very happy with what we did. It doesn’t mean we don’t have a lot of ideas out there, but we are rise to this exact point talking to people to get down to the point of what kind of multiple they would be. So we haven’t had particular conversations about active acquisitions and know that exact detail because we want to get the most out of the two we did. So we are focused on that first, and we have a lot of idea when we might go to any specific area and the company, but I will say that we, right now, are knocking on the door to anybody to get into that specific detail with multiples and all of that.
Christian Thomas: Okay, I just – I am so curious if there is kind of an upset in optimism kind of associated with us kind of getting with the 2015 and 2016?
Kevin Zugibe: On that end, we guess, what I am saying, we don’t specifically having talked to it, I would think it’s definite basically exactly we could say and we are feeling that throughout and we were happy to pull the two and we did when we did. Again, the EPA did some clarity in this market and when we talk about reclamation even this summer and we talk that pricing is one, yes, and we’ll see the benefit and that will help and it is an economic model and that’s great and we are now lining up for it. But there is a psychology for it. The reason you have to believe there is a shortage coming and we are thinking that’s going to start happening when people believe now for the first time. There is not going to be enough gas. But all of this coming together, yes, the optimism is there. I would expect people to think their businesses work more potentially. But again, it depends on where we see acquisitions, it could be more in the services area and the technology area of our business still to come necessarily on reclamation. We think we are well positioned in reclamation but at this exact point. So, we just want to make the best of it and we – as the market psychology and the marketplaces are going in our direction and are favorable for Hudson, and we are pretty excited. I am sure that’s our feel, but we think we are at the best position in the country personally.
Christian Thomas: Sounds good. Thank you.
Operator: [Operator Instructions] And our next question will come from Robert Manning.
Robert Manning: Could you talk following up on Gerry Sweeny’s enquiry. Could you talk a little bit more specifically about the incentives that are going to cause the residential air conditioner service people to turn in gas that I think is now in our view largely being vended. I understand that in the past, the wholesalers would actually charge on the drop-off fee for each drum and is that’s switching to maybe paying them 100 bucks a drum, which obviously is a huge change. Where are we in that and what other incentives are there? I mean, are there wholesalers out there that are still charging on the drop-off fees, everybody already switched to paying them 100 bucks. I am just interested in what is going to cause – we know there is going to be demand for recycled gas, but something has to change the habit of the individual air conditioning service person to get the supply and that’s what I am sort of interested in.
Kevin Zugibe: So, probably couple of years ago, we were talking about some psychology. At the end of the day, first off, we say economics in 2014, people need to get paid. People got to have money in their pocket. It’s got to be worth their time and money. When we talk about the overall psychology, we kind of try to see wholesalers and then contractors thereafter, but there is sort of three buckets like these early adopter kinds, wait and see kinds and people that just felt like there was never going to be shortage.
Robert Manning: You are talking specifically about wholesalers now, not contractors, yes.
Kevin Zugibe: Correct. But there is that relationship in some respect, but so I mean this probably very few that think now that there is never going to be a shortage. So, but at the same token there is still people charging, there is still people, probably less today than certainly last year for example, there is still people though that are not necessarily encouraging reclaims. So there is still that availability of growth which is – goes back to the whole amount of statement we’ve said over and over again that we still think absent anything else we could have 10% to 12% roughly is what we have recognized in terms of volume growth. We still think that’s absolute, just because there is still people to convert and there is still people that could have better programs and we think we can help them get there.
Robert Manning: I am sorry, but 10% to 12% volume growth it doesn’t sound like what we should be looking for, I mean, we’ve got to go from something like 10 million pounds being recycled now to 40 million pounds. That’s not 10% growth. Where do we get the step function?
Kevin Zugibe: You are correct. I was referring to historically up until where we are today that we’ve had that 10% to 12% volume growth absent price increases, absent any change in the marketplace, just because…
Robert Manning: I am sorry, you are talking about primary demand or recycle, reclamation? I was interested in the reclamation part.
Kevin Zugibe: On overall demand, because that’s all is related, it’s not just one relationship. It’s not just about R-22 and the reclaiming of R-22. It’s about the service, it’s about all the customer needs. So it’s never one single component of the overall business. So, back to the 10% to 12% growth, that was about volume growth, because we are getting new customers and we are being able to sell more products to those new customers and the existing customers and that compounded effect. As you are right, currently we have much greater growth. Some of that’s coming from the acquisition, some of that’s obviously coming from the price increases and so on.
Robert Manning: No, but the issue is, what’s going to - where is the supply going to come from to get us from – I understand there is something like 10 million pounds being recycled now. We got to get that up to 40. I mean, that’s the assumption. Is that 30 million pounds, yes, now being vended out by the air conditioner or contractor or where is it going to come from?
Kevin Zugibe: There is – again, we never had an exact number of pounds of which way it goes, does it go to the sky, does it get reused early, does it get recycled a little bit and sold really illegally to someone else. There is a ton of improper actions out there one way or another to somebody’s system. But, it’s a large volume. We don’t know what the number is. We feel very comfortable saying the right plan out there. If people believe there is a shortage and they believe they need that product to be able to buy, purchase, yes, that was going to kick these things. So we do believe there could be multiple fold increase in reclamation magically, and it could have come in all these years and that was what we argue with the EPA for a long time but they have incentivized us one way or another, excise tax, increase our shortage or increase the site, something they can get money in their pocket and they say, well it’s the lawn, we say, well obviously it can be the following it’s not coming back. So, we do believe as soon as the pricing comes out which passed we got the first piece. As soon as the realization that there is a shortage, a lot of contractors again think it’s going to be around forever. And as it becomes clear, it’s going to be harder and harder to get, when you get a program and one of the things you offer is not only the right economics, but one of availability of gas. And moving on that, that’s going to change a lot and it has when we brought people into our program, because of that alone.
Robert Manning: And what you said about the psychology of the wholesalers, I think that makes a lot of sense. But to replace the individual contractor, he doesn’t care about this big picture. He wants in all, if he takes a drum into his wholesaler does it cost him a 100 bucks or does get paid to 100 bucks, right, I mean, it’s that simple. And the question I guess, I have is, where are we in this spectrum of going from every say – wholesalers and we are going to charge $100 drop-off fee to every wholesalers and we are going to give you 100 bucks for your dirty canister – your dirty drum. Do you have any idea where we are in that right now?
Kevin Zugibe: We want to say, the rule came out in October, it was season hasn’t started yet. The momentum still looks like it’s on our side and say if we were not paying attention more, and that’s what’s going to happen. We don’t think at a one shot, it’s going to go from 10 million pounds, 40 million pounds in one summer. But we do think all the pieces of them are starting to fall in place are lining up and we’ll see this summer, maybe not exactly this summer, but a huge jump in reclamation. But the world we out there to be clear that there is not a ton of refrigerant like people think it is for everyone. And then it will keep coming in, but again this is what you add is, you are right. The contractor doesn’t need to be charge $100 you look at it. But, if he is paid is that enough? For some they want to know they are going to get paid and they have availability of gas. So, going to a Hudson is large requirement. That’s a big deal. So adding all of these things together in our program, what is going to affect the psychology of one person? It’s hard to say, but we see that we get the pieces since they are coverable if lining up now that those pieces will start.
Robert Manning: Great, good. Second question now, we go to a shortage environment where DuPont, and the other two are going to have a whole lot more demand than they can sell. So, in that environment, Hudson is going to be competing for virgin gas with National, with Airgas with Watsco, with people who are significantly bigger. Do we get into any difficulty there, because we are smaller and therefore have less bargaining power? Or we’ve got really good relationship with DuPont because we do their reclamation? How does that all shake out? I mean, as we go from an environment where there is adequate primary gas, virgin gas for one way there is the virgin gas shortage? How does that affect us?
Kevin Zugibe: We certainly aren’t going to get into any competitive information. So, we – our job in a general way is to work with lot of suppliers to certainly provide to them, our belief is that why we are important to them and the relationship and how it’s not just necessarily about one product or another. There is no certainty, there is no guarantee or anything, but, that’s what our job is and that’s what we do. But we are not get into any specific detail.
Robert Manning: Sure, without going into anything that’s too specific and bothersome, but how do we overcome the competitive disadvantage that we are so much smaller than Airgas and National?
Kevin Zugibe: Again, Bob, you are asking us to sort of describe our strategies.
Robert Manning: That’s fine. I understand if you can’t, thanks. You don’t find out – you don’t find out with under stone if you don’t turn it over. Thanks, I appreciate absolutely what you are saying. Thanks. Thank you very much. I appreciate it.
Kevin Zugibe: Okay, thanks.
Operator: This concludes our question and answer session. I would like to turn the floor back over to management for closing comments.
Kevin Zugibe: Great. We’d like to thank our employees, our long time shareholders, and those who have recently joined us for their continued support. Thank you, everyone, for participating in today’s conference call, and we look forward to speaking with you after the second quarter. Thanks.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.